Operator: Hello and welcome to the Q3 Fiscal Year 2022 ResMed Earnings Conference Call. My name is Kevin and I’ll be your operator for today’s call. At this time, all participants are in listen-only mode. Later we’ll conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Amy Wakeham, Vice President of Investor Relations and Corporate Communications. Amy, you may begin.
Amy Wakeham: Great. Thank you Kevin. Hi everyone and welcome to ResMed’s third quarter fiscal year 2022 earnings conference call. We appreciate you joining us. This call is being webcast live, and the replay will be available on the Investor Relations section of our corporate website later today, along with a copy of our earnings press release and presentation, which are both available now. With me on the call today are ResMed’s Chief Executive Officer, Mick Farrell; and Chief Financial Officer, Brett Sandercock. During the Q&A portion of our call, Mick and Brett will be joined by Rob Douglas, President and Chief Operating Officer; Jim Hollingshead, President-Sleep and Respiratory Care; and David Pendarvis, our Chief Administrative Officer and Global General Counsel. During today's call, we will discuss several non-GAAP measures. For a reconciliation of these non-GAAP measures, please review the supporting schedules in today's earnings release or the appendix of the earnings presentation. As a reminder, our discussion today will include forward-looking statements, including, but not limited to, expectations about our future operating and financial performance. We believe these statements are based on reasonable assumptions. However, our actual results may differ. You are encouraged to review our SEC filings for a discussion of the risk factors that could cause our actual results to differ materially from any forward-looking statements that are made today. I'd like to now turn the conference call over to Mick.
Mick Farrell: Thanks, Amy and thank you to all of our shareholders for joining us today as we review results for the third quarter of our fiscal year 2022 ended March 31. Our third quarter results reflect strong performance across our business with double-digit revenue growth in our sleep and respiratory care business, and high single digit growth in our software as a service segment. Our growth is the direct result of our global team's ability to pivot and drive for results, even as we continue to manage through several external challenges that are impacting our business, including one, on-going supply chain disruptions; two, COVID restrictions in parts of the world, three, recovering post-COVID Peak patient flow, and four unprecedented demand from a competitor recall, which will keep them out of the market at least through the end of the calendar year. The global supply chain environment remains very challenging across multiple industries. I'm very proud of our team growing double-digits this quarter year-on-year with an astounding 30% growth this quarter for devices in U.S. Canada, and Latin America. Even with this incredible growth, the demand in the market was even greater. As with almost all customers in the global components industry, we remain on allocation from our suppliers, particularly for electronic components, with our number one bottleneck being semiconductor chips. This allocation impacts our ability to meet the incredible demand that we see in our marketplace. And we are forced intern to allocate ResMed products to our customers. We have established guiding principles for allocation, giving priority to the production and delivery of devices to meet the needs of the highest acuity patients first. Additionally, the on-going challenges of sea freights and air freight due to reduced availability and increased prices are impacting our ability to efficiently get components into and finished goods out of our factories worldwide. We are working closely with our global supply chain partners doing everything that we can to secure additional supply to further increase production of our devices. This work includes a combination of a number of workstreams. One, shoring up the flow of existing parts from existing suppliers, two establishing flow of existing parts from new suppliers, three validating new parts from existing suppliers, and four validating and verifying new parts from new suppliers as we review and redesign across key devices in our portfolio. In addition, we have fifth line of work. So it's five lines of work and that fifth line is reengineering designs to eliminate and or mitigate the top bottlenecks to achieve greater flow through our supply chain. The most significant example of a project in this fifth line of work is our newly released AirSense 10 Card-to-cloud device. This device eliminates the number one bottleneck of the 3G, 4G comms chip, while facilitating secure data upload to our cloud based software platform called AirView so that providers and physicians can access the data and better manage the patient. We've already begun to offer AirSense 10 Card-to-cloud devices in select markets to some customers, and we will be ramping up from there. With these five lines of work continuing in parallel, we have been able to offset some of the impact of continuing component shortages and de-commits to help us better support patients, providers and physicians. We recognize that this is a very difficult situation for all of our customers, including physicians who feel the pressure from their patients, home medical equipment providers who see this every day in their businesses, but also payers and entire healthcare systems and especially the most important customer, the patient themselves. We are partnering across the industry to be the solutions provider to these problems. We expect a significant backlog of patients diagnosed and coming through the system to be present for at least the next 12 to 18 months with incredible associated demand. We are working to address this demand with these portfolios of supply projects and beyond, and we will get through this time stronger than ever as an industry and as a company. Our number one priority will always be patients, doing our best to help those who suffer from sleep apnea, chronic obstructive pulmonary disease, asthma, and other key chronic respiratory insufficiency diseases, as well as those who benefit from our out of the hospital care software as a service solutions. Our goal is to ensure that every person gets the care that they need, where they need it, and when they need it. Let's now briefly discuss the other broad market conditions in our industry. We continue to see steady on-going recovery of patient flow and demand through the diagnostic channel across the countries that we operate in. In fact, many countries are above 100% of pre-COVID levels of patient flow. However on-going surges, variance, and government restrictions continue to impact a few countries which will remain below pre-COVID diagnostic levels. China is a case in point right now with severe shutdowns in Shanghai and beyond. But across our portfolio, our global portfolio, we're in 140 countries that we serve, I expect that these metrics will steadily improve to pre-COVID patient levels and beyond. As vaccines and boosters roll out globally, and people remain focused on their personal respiratory health and hygiene that's been a big learning through COVID. With the adoption of digital health solutions for screening, diagnosis, and remote patient setup, and remote patient monitoring, as well as established COVID cleaning protocols, sleep labs and other facilities, I expect the impact of new variants to diminish in absolute impact each and every time. Let me now update you on our top three strategic priorities. Number one, which is to grow and differentiate our core sleep apnea, chronic obstructive pulmonary disease and asthma businesses. Number two, to design, develop and deliver world leading medical devices as well as digital health solutions that can be scaled globally. And number three, to innovate and grow the world's best software solutions for care that is delivered outside the hospital where people live, and especially in the home. The U.S. launch of our next generation device platform called AirSense 11 continues to go very well. Although it is challenging to differentiate on-going positive customer sentiment and feedback from the incredibly high demand in the U.S. market and beyond. The AirSense 11 has provided much needed additional product supply as we face all time high demand for ResMed devices, and it couldn't have launched at a better time for that purpose to help us mitigate on-going component shortages. We will introduce the AirSense 11 into additional countries in the fourth quarter that we're in right now here at fiscal year 2022 and throughout fiscal 2023. In parallel, we will continue to sell our globally available market leading platform the AirSense 10, which is second in customer preference only to the AirSense 11 including the new Card-to-cloud AirSense 10 as we seek to maximize the total volume of CPAP APAP and bi-levels [ph] available for all of our customers. With our digital health technology ecosystem, we are engaging patients in their therapy in a digitally native environment like never before in the industry. We are also making it easier and more efficient for our home medical equipment and homecare provider customers to manage their patient populations using our full suite of software solutions, including myAir for patients. AirView for physicians and providers, and Brightree for HME providers. When customers use these digital health technology solutions, they have increased efficiencies, lower costs, and together with us we achieve improved outcomes for patients and their physicians. With the latest technology built into the AirSense 11 platform, we are driving higher adoption rates of the myAir app by patients higher than ever before. Right now, we are seeing more than double the myAir adoption rate as patients engage directly in their own health care. People want personal care. They want their own data on their own app on their own phone. And they liked the coaching and the personal engagement of our digital ecosystem. This means more patients are signing up onto myAir every day and fully engaging with ResMed’s software technology, helping us to now pass over 11.5 billion nights of respiratory medical data in the cloud. Ultimately these software solutions, these big data deliver a better patient experience. They deliver better efficiencies for homecare providers, and most importantly, they deliver greater long term adherence to therapy by patients. Let me spend just a couple of minutes outlining some real world evidence showing that greater therapy adherence leads to lower hospitalizations, lower mortality, and better clinical outcomes through mitigation of chronic disease. We are demonstrating better patient outcomes and lowering costs for the healthcare system at a scale not seen before in the industry. These are critical components of the ResMed 2025 strategy. The latest example is a study recently published in the landmark American Journal of Respiratory and Critical Care Medicine Journal, also known in the industry as the Blue Journal. This article demonstrates that patients with obstructive sleep apnea and chronic obstructive pulmonary disease who were adherent to CPAP therapy versus non-adherence to CPAP therapy, and it showed significant year one and year two reduction of clinical use by over 30% and reduction of inpatient hospitalizations by nearly 50%. It showed a 20% reduction in year one and year two total healthcare resource cost, which included a 25% reduction in emergency room costs and a 52% reduction in inpatient hospitalizations. These are important metrics for the whole healthcare system. Another key aspect of our long term growth strategy is driving awareness and increasing the flow of patients through the top of the sleep apnea diagnostic funnel. COVID-19 has advanced awareness, adoption and acceptance of digital health and respiratory health, including telehealth tools, and specifically home-based sleep apnea tests. Although driving demand generation is not a priority in the immediate term, given the supply shortage and incredible demand we're facing, we are maintaining our long term focus and investments in this diagnostic channel so that we are ready when conditions improve to ensure sustainable, long term pipelines of new patients coming through the channel. With 1.6 billion people worldwide suffering from sleep apnea, COPD, and asthma. It's also our duty to do this. We are innovating with partners and our customers to create even more efficient and effective approaches to sleep apnea, patient identification, screening, diagnostics, treatment, and management. We will continue to invest in technology that enable what we call an end-to-end seamless digital experience for patients. One example we recently rolled out is the next generation of our remote mask selector tool that makes mask selection and sizing easier and more effective by creating personalized mask recommendations based on a patient's health, sleep attributes and their own facial measurements. Choosing the right mask is challenging to do remotely. But getting the right mask fit is crucial to patient comfort and long term adherence. The technology MaskSelector is a web based tool that solves this problem by prompting the patient to answer a few simple questions and follow a few easy steps with their camera enabled smartphone to capture a digital facial scan. Based on the answers and the digital facial measurements, MaskSelector then provides a recommended mask and sizing. Whether a patient is then being set up at home remotely, or preparing for a face-to-face interaction with a respiratory therapist and clinical staff at a provider's office MaskSelector helps the patient quickly get to the right mask for their unique needs. Turning to a discussion of our respiratory care business, focusing on our strategy to better serve the 380 million patients with COPD worldwide, and the 330 million patients that suffer from asthma worldwide. Our goal is to reach many hundreds of millions of patients with our respiratory care solutions, including non-invasive ventilation, and life support ventilation, as well as newer therapeutic areas such as our cloud connected pharmaceutical delivery solutions from our Propeller technology, and the high flow therapy offerings, such as our product platform called Lumis HFT. Demand for our core, non-invasive ventilation and life support ventilation solutions for COPD and other respiratory insufficiency patients remain strong throughout the quarter, especially in markets outside the U.S. where providers shifted focus to supporting the most severe and highest acuity patients. This demand and the work of providers is aligned with the ResMed guiding principles of our allocation process, specifically to give the highest priority to manufacturing life support ventilation. As I speak, we are not component constrained on our life support ventilator called Astral. Let me now review our software as a service business for out of hospital care. During the quarter, our SaaS business achieved high single digit growth year-on-year across our portfolio of SaaS markets, including home medical equipment, as well as facilities based and home based care settings. Our SaaS customers recognize the need for technology solutions to solve their challenges with efficiency and scale, and our software services and solutions help them achieve both. The continued growth of home based care is providing tailwinds for our home medical equipment and our home health products. And we continue to grow with our customers as they increase their utilization of our software and data solutions to improve and optimize business efficiencies and patient care, including our landmark Brightree and SNAP ReSupply products. As businesses continue to open up, we've been able to visit customers in person, as well as to attend SaaS trade shows where interest in our Brightree, MatrixCare and Citus offerings to name a few remain very strong. We have a very solid pipeline in SaaS. The COVID-19 pandemic has been and remains challenging for some verticals in our SaaS business, particularly skilled nursing facilities, where headwinds have kept patients census rates below pre-pandemic levels. But as COVID restrictions continue to ease and our customers improve their line of sight to better conditions, we expect to see pent up demand for technology investments, which provide opportunities for us to sell more services and more solutions to existing customers, as well as to increase our new customer pipeline. As we look at our portfolio of solutions across care settings, we expect our SaaS group revenue growth to maintain high single digit growth as we exit this fiscal year, and well into the next fiscal year and beyond. As always, our goal is to meet or beat that market growth rate as we continue to innovate, and we expect to grow the market and take market share. We are the leading, strategic provider of SaaS solutions for outside hospital care. And we provide mission critical software across a broad range of very attractive vertical markets. We are well positioned and we have created differentiated value for customers and for ResMed with our SaaS businesses. I'm excited about the future of our SaaS business. It's an important part of ResMeds future growth and I see a lot of opportunities to innovate in lower cost, lower acuity settings of care. It's the future of healthcare delivery with strong organic and inorganic growth in ahead for ResMed. Our focus is on personal care that is patient centric, physician centric and provider centric. This approach combined with our unique ResMed culture means that we are positioned to continue winning in the vastly underserved medical markets of sleep apnea, chronic obstructive pulmonary disease, asthma, and beyond. We are transforming out of hospital health care at scale, leading the market in digital health technology. As I said earlier, we have over 11.5 billion nights of medical data in the cloud. And we have over 17 million cloud connectable medical devices on bedside tables in 140 countries worldwide. We are unlocking value by using de identified data to help patients directly, but also to help providers, physicians, payers, and entire healthcare systems. We have invested in the cyber security, the privacy, cloud operations, as well as data analytics, including artificial intelligence machine learning capabilities to do this at a scale unmatched by our competitors. And we are increasing our lead each and every day. Our two key software, customer facing products, AirView and myAir are now 100% managed in the cloud. So not only are our devices cloud connected and our software cloud enabled, we here at ResMed as a company, are cloud connected and cloud enabled. Infact, we are a leading digital health company globally. Our mission and goal to improve 250 million lives through better health care in 2025 drives and motivates me and ResMedians around the world every day. We made excellent progress towards that inspiring goal during the last quarter. Before I hand the call over to Brett for his remarks. I want to again express my sincere gratitude to the more than 8000 ResMedians worldwide for their perseverance their hard work and their dedication during these on-going and unprecedented times. Thank you for all that you do. With that, I will hand the call over to Brett and Sydney [ph] and then we will move to open the lines for Q&A. Over to you, Brett.
Brett Sandercock: Great, thanks Mick. I'll provide an overview of our results of the third quarter of fiscal year 2022. Unless noted, all comparisons out of the prior year quarter. We had solid financial performance in Q3 despite the headwinds we faced as a result and significant on-going supply chain constraints and a challenging freight environment. Group revenue for the March quarter was $865 million, an increase of 12%. In constant currency terms revenue increased by 14%. Revenue growth reflects increased demand for our sleep and respiratory care products across our portfolio driven by recovering market conditions and by increased device demand in response to the on-going product recall by one of our competitors. In the March quarter, we recorded immaterial incremental revenue from COVID-19 related demand consistent with the prior year quarter. Looking forward, we expect negligible revenue from COVID-19 related demand. In relation to the impact of our competitors recall, we estimate that we generated incremental device revenue in the range of $35 million to $45 million in the March quarter. For the first three quarters of FY 22, this reflects incremental revenue in the range of $170 million to $190 million. We continue to experience challenges in securing sufficient components and this has hampered our ability to materially increase our supply of devices. We expect our fiscal fourth quarter to remain supply constraints and similar to our recent fiscal quarters, therefore limiting incremental revenue during the fourth quarter. We now expect a total incremental device revenue opportunity for fiscal year 2022 will fall somewhere between $200 million and $250 million. Looking at our geographic revenue distribution and excluding revenue from our software as a service business, sales in U.S., Canada and Latin America increased by 18%. Sales in Europe, Asia and other markets increased by 11% in constant currency terms. Of that segment, globally in constant current terms, device sales increased by 21%, while masks and other sales increased by 9%. Breaking it down by regional areas, device sales in the U.S., Canada and Latin America increased by 30%, as we've benefited from incremental revenue due to a competitor's recall and favorable product mix as we sold an increased proportion of higher acuity devices. This is consistent with our guiding principles for product allocation, namely that we are giving priority to the production and delivery of our devices to meet the needs of the high acuity patients first. Masks and other sales in the U.S. Canada and Latin America increased by 7%, reflecting solid resupply revenue achieved despite the challenging device supply environment, which continues to limit new patient’s setups. In Europe, Asia and other markets device sales increased by 10% in constant currency terms. Mask and other sales in Europe, Asia and other markets increased by 13% in constant currency terms. Software-as-a-service revenue increased by 8% in the March quarter. We saw strong performance out of the HME segment as customers continue to utilize our SaaS solutions to streamline and more efficiently run their businesses. And we are seeing some stability in the skilled nursing care segment as it continues to emerge from the challenges of the COVID-19 pandemic. During the rest of my commentary today, I will be referring to non-GAAP numbers. We have provided a full reconciliation of the non-GAAP to GAAP numbers in our third quarter earnings press release. Our non-GAAP gross margin declined by 150 basis points to 58.1% in the March quarter. The decrease is predominantly attributable to higher freight, component, and manufacturing costs, partially offset by a positive product mix, due to strong growth in our higher acuity devices and improvement in average selling prices following the introduction of the device surcharge. Moving on to operating expenses. We are seeing a more normalized expenditure profile as COVID-19 impacts subside compared to the low comparable and negative price rates we experienced in Q3 last year. SG&A expenses for the third quarter increased by 14%, or in constant currency terms increased by 17%. The increase was probably attributed to an increase in employee related expenses. SG&A expenses as a percentage of revenue at 21% remained broadly consistent with the 20.9% we reported in the prior year period. Looking forward and subject to currency movements, we expect SG&A expense as a percentage of revenue to be in the range of 20% to 22% for the balance of FY 22. R&D expenses for the quarter increased by 19% or in constant currency terms increased by 22%. R&D expenses as a percentage of revenue was 7.7% compared to 7.3% in the prior-year quarter. We continue to make significant investments in innovation because we believe our long-term commitment to technology, product, and solutions development will deliver sustained competitive advantage. Looking forward and subject to currency movements, we expect R&D expenses as a percentage of revenue to be in the range of 7% to 8% for the second half of FY 2022. Our non-GAAP operating profit for the quarter increased by 5%, underpinned by strong revenue growth, partially offset by the contraction of our gross margin and higher operating expenses. On a non-GAAP basis, our effective tax rate for the March quarter was 21.1%, compared to the prior year quarter non-GAAP tax rate of 19.4%. Looking forward, we estimate our non-GAAP effective tax rates for the full fiscal year 22 will be in the range of 19% to 20%. Our non-GAAP net income for the quarter increased by 2% and our non-GAAP diluted earnings per share for the quarter also increased by 2%. Cash flow from operations for the quarter was $117 million reflecting robust underlying earnings partially offset by higher levels of working capital. Capital expenditure for the quarter was $48 million. Depreciation and amortization for the quarter totaled $42 million. During the quarter we pay dividends to shareholders totaling $61 million. We recorded equity losses of $2.6 million in our income statement in the March quarter associated with the premise on a joint venture with Verily, We expect to record equity losses of approximately $2 million to $3 million per quarter, the balance of fiscal year 22 and into FY 23 associated with a joint venture operation. We ended the third quarter with a cash balance of $202 million. At March 31, we had $681 million in gross debt, and $479 million in net debt. Our debt levels remained modest. And at March 31, we had approximately $1.6 billion available for drawdown under our existing revolver facility. In summary, our liquidity position remains strong. Our board of directors today declared a quarterly dividend of $0.42 per share, reflecting the board's confidence in our operating performance. Our solid cash flow and low leverage provides flexibility in how we allocate capital. Going forward, we plan to continue to invest for growth through R&D. We also expect to continue to deploy capital for tuck-in acquisitions. And with that, I'll hand the call back to Amy.
Amy Wakeham: Great. Thanks, Brett. Kevin, I'd like to ask you to come back on the line. I'll turn the call over to you to provide instructions and to manage the Q&A portion of the call.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today is coming from David Low from JPMorgan. Your line is now live.
David Low: Thanks very much. If I could just start with a question on the guidance from the benefit from the field free call. So it's fallen $100 million short of where you are projecting a year or so ago. Just wondering how you are now thinking about that opportunity set as we move into the new financial year?
Mick Farrell: Hey, David, yes, it's Mick here. That's a good question. And, clearly as we in the second half of the year now we're readjusting that expectation for FY 22 now in total to be 200 to 250. You look I'll just be very open, very specifically a contract from 12 months ago with a particular I will not name them. But a particular semiconductor supplier had a very significant double-digit de-commit in these last months, weeks, and there's a commitment from 12 months ago, that had some very strong supply and it went down double-digits. And so with that as a headwind into us all the tail winds of our work, the five projects, five lines of projects going on in our supply chain allowed us to sort of, take two steps forward and two steps back versus two steps forward and one step back. And that didn't allow us to achieve that that extra 100 million of incremental revenue that we thought that we would achieve here through fiscal 22 for the first half. And so that's going to be tougher and as things a little bit further back. Having said that some of these projects coming to market such as the Card-to-cloud AirSense 10 device, where we eliminate that bottleneck or the number one bottleneck, which is the 3G, 4G comms chip. And we allow, the next bottleneck, which is another electronic components to become the one, we can then speed up some production to make up some of that difference. And that's allowed us to achieve the 30% year-on-year growth that we saw in devices in U.S., Canada, and Latin America and the 10% year-on-year growth that we achieved this quarter for Europe, Asia and rest of the world. Look, it's not perfect sailing ahead. When you get de-commits. I'd never heard that word de-commit. We're offering you got a signed contract, you're offering money, very good margins, long term contracts, and people just can't supply. Often force majeure and other aspects coming into play. But I can tell you that all the work that we've been doing these hard works by supply chain have allowed us to actually to achieve these results despite that headwind. We're not planning on giving guidance for FY 23 around this. We are saying that this is what I'll say. What we're doing is going to strive for sequential growth every quarter as we go ahead. So sequential growth from March to June, June to September, September to December throughout this fiscal year. That's what we're going for. And I actually think as you start to look towards the second half of the calendar year, you look at the December quarter, there are a number of other projects that don't involve necessarily the risk of an externality of other de-commit from someone else's enough projects. And enough, I would say, new suppliers, new components, new designs and new engineering reengineering that we're doing around both the hardware and the software to give us a strong confidence in supply of product ahead. So I think that supply chain have done amazingly. And, if you look at what we would have achieved, 14% growth, constant currency year-on-year, yes, we could have, we could have got to 20% or 25%, if we'd had unlimited supply, de-commits, and changes in supply chain in global semiconductor and other electronic components have been a headwind. But I think with all the work we've got, we're going to power through this, we got a strong ship, there are waves ahead, but we're going to power through it stronger than ever. And I think our team has done a great job in the supply that we're going to get throughout this calendar year will be a great opportunity for sequential growth as we go through.
Operator: Thank you. Your next question is coming from Gretel Janu from Credit Suisse. Your line is now live.
Gretel Janu: Thanks. Good morning, Mick. Just one question on the backlog of patients. So you did mention in your prepared remarks, just trying to see if you can quantify how large the backlog is currently? And how long are patients waiting to get on to treatment? Is there something that ResMed can do to keep these patients engaged? Or is there a risk that they potentially fall out of the system? If they don't get onto product, in a in a short period of time?
Mick Farrell: Thanks, Gretel. It's a great question. And yes, as you know that I talked about at least 12 to 18 months of a backlog, which is, in many industries you say fantastic to have a backlog, but these are patients waiting therapy and to the specific party a question Gretel, how long will any individual patient wait? It's not like a patient gets a diagnosis, and they have to wait 12 to 18 months. It depends on the geography and the environment. It might be eight days or eight weeks, depending on the geography and our flow of products. But an individual patient is not sitting out there told, Oh, you've got this life threatening disease, we'll take care of you next April. They're being told look, it's going to take for four weeks. And they're not happy with that. I mean, they've been told they suffocate maybe 100 times per night, maybe 50 times per hour, if they've got very severe sleep apnea. And they're suffocating. They want therapy, and so that that pressure is there, and the desire is there. We're watching very carefully. I mean, obviously we're involved in the substitute therapies. We sell a dental divides all across western and northern Europe with a number one provider, with novel our technology. We're not seeing this huge movement over to dental and the 100 muscle nerve stem that we're investing through in Astella [Ph]. We're not seeing a huge movement over to those substitutes. So they're being told by the doctor, it's eight days or it's eight weeks, and they're accepting that and they're sitting there in that pipeline. What I mean by the 12 to 18 month backlog is if you look at the net of the industry, this is building up because the number two player here is out. As they said earlier this week, they said at least through the end of this calendar year. I think they said that only be 90% done with their [Indiscernible] by the end of this calendar year. So that means the rest of us have to step up and ResMed is the number one player and we're stepping up the most and we're stepping up incredibly well. And I think we'll do that through it. But even when they come back online, it's not like the backlog goes away the day they come on. That's there and it's for all of us to drive. I think the share that we've gained is going to be entrenched because of the digital solutions we have and we'll go and gain from there. But the patients are there and I think it's awful that somebody might have to wait four weeks, or eight weeks. I don't want them to wait more than 4 hours to 8 hours. But right in the moment we're in this situation will be that way for a period of time given these unprecedented circumstances.
Operator: Thank you. The next question is coming from Lyanne Harrison from Bank of America. Your line is now live.
Lyanne Harrison: And good morning all. Thank you for taking my question. Can we just talk a little bit about the device and mass dynamics in both Americas and rest of the world? Obviously, Americans had softer devices, but sorry, had Americans had stronger device growth, but much softer mass growth there. Can you I guess, share what your thoughts are around to the extent that's driven by fewer devices in the market as opposed to resupply, and then vice versa for the rest of the world.
Mick Farrell: Thanks Lyanne for the question. Yes, as you mentioned, very strong device growth in the U.S., Canada, Latin America, 30%. And very solid growth in devices in Europe, Asia, elsewhere at 10% netting out at 21% cc across that sector. In the math side actually, if you go back to 2019, Lyanne when we were talking about market growth, right, we were talking then about devices, mid-single digits and masks being high single digits, I look at our global mask growth rate at 9% constant currency with the headwind of new diagnoses downward or competitive being out for new patient stops. And the U.S. Canada, Latin America at 7% constant currency as pretty reasonable growth, new patients are down but what we're actually doing there is working with resupply with Brightree resupply, with SNAP technology ReSupply in the U.S. and around the world with some of our models are working with patients directly in markets like Australia, New Zealand, Singapore and our western and northern European teams working with hospitals and care delivery systems to achieve that 13% constant currency growth in Europe, Asia and America. And I think, I'll hand to Jim Hollingshead the President of our global sleep business, but Jim, I think we're actually taking share in some of those categories again in the quarter.
Jim Hollingshead: So thanks, Mick. And thanks, Lyanne it’s a great question. I think this is one of those weird circumstances for us where the numbers don't actually very clearly convey the underlying dynamics. And the reason for that is the volumes and the revenue growth we're producing in different markets is almost completely contingent on which SKUs we can produce, right. So it's a little bit, it's a little bit complicated. But we can, when we can produce devices that have sell chips that can go into certain European markets, and we have those components, then we get more growth for that period of time as we ship those products. And then sometimes those specific SKUs get constrained. And so the dynamic is actually pretty constant across all geographies, which is very, very high demand for our devices. Very, very high demand for our masks. There is a headwind on masks, because new patient starts are down because the market is under supplied. But really across all geographies there are tailwinds for masks because in the U.S., we have very resilient resupply and in other European markets, we have very really resilient resupply in markets like France and Northern Europe. And so the number the differences you've seen in the groceries is actually driven by component supply and not by demand dynamics, if that makes sense. So it continues to be really almost unlimited demand for our products across the board. With devices obviously, in the U.S., we introduced AirSense 11. That freed up a lot of capacity for us. That's why we got such outsized growth relative to the other markets in the U.S. market this quarter. And the mask growth is pretty steady across all the markets.
Operator: Thank you. The next question today is from Saul Hadassin from Barrenjoey. Your line is now live.
Saul Hadassin: Good morning, Mick. Thanks for taking my question. Just a quick one on the guidance you've provided for the full year for the Philips share gains and that revenue contribution. The other companies obviously, what do you think is the underlying growth rate of the base business excluding that share gains? I guess, in other words, what were you expecting to grow the business by? How do you come up with that 200 to 250 million? And I guess, the question really is what do you expect of the base business to be able to grow up considering the supply constraints that are in the market at the moment? Thanks.
Mick Farrell: Yes, Saul thanks, thanks for the question. And in looking at these estimates started about six months ago. I'll probably get Brett to give a little bit of detail around how we actually came up with the details of the calculations of the 300 to 350 and the 200 and 250. I'll give you the CEOs perspective first, and the CFO will come in and give more quantitative detail in a moment. But the way I looked at it, about six, eight months ago, it was I guess it was June, mid June when the competitor announced this. There were estimates on the sell side from 50 million of incremental revenue for ResMed during the fiscal year, up to 950 million from some of the sell side analysts and we thought that that range is just too broad. We generally don't get guidance we leave that to the job of the very smart people on the sell side and the buy side to do so. But that that variance was too big. And so we said, let's calculate it, let's take our forecast that we had at that time, eight, nine months ago for the fiscal year 22. And then look at what we think we can achieve based upon parts and components we can get into our factories and product we can make to take care of what is a seemingly infinite demand. So we'll just be rate limited on the parts and pieces. And we looked at mostly comms chips and some other electronic components would be rate limiting. And so we said, Okay, let's see how high we can ramp those with our great work from our ops team looking at ResMed 2030, 2035 and a brand new plant in Singapore, we actually weren't limited and aren't limited on manufacturing capacity, it was just about supply. And we estimated 300 million to 350 million in incremental revenue above our forecast growth. We didn't actually give a public number of what our forecast growth was. We just talked about that incremental revenue being there, letting sell side models for their forecast, add on to that in the 300 to 350. We've adjusted that to 200 to 250. So on top of whatever that growth was, we think it'll be 200 to 250. And that's really getting down to these. This last quarter Q4 gives a bit more detail on that. Brett, any further quantitative info, you want to give on that to Saul’s question there?
Brett Sandercock: Yes, thanks, Mick. I think we got that right. We saw really what we did is we looked at our pre-recorded forecasts, and it's very much an estimate on what we think that incremental demand was. And to your question kind of what would the underlying growth be? I mean, if you backed out that incremental revenue you'd get, you'd probably get Circa 10% growth on devices. So pretty, pretty strong.
Operator: Thank you. Our next question is coming from Dan Hurren from MST. Your line is now live.
Dan Hurren: I just wanted to ask in regards to you mentioned the Astral, the Astral was not an allocation is unlimited or sorry, is not constrained. And you just talked about how that part is traveling and competitive and the competitive market with Philips being in our market and their products.
Mick Farrell: Yes Dan, thanks for the question. And yes, you're right. As I said in the prep remarks, we -- was our guiding principle that we take care of the sickest patients first and the highest security devices first. And the Astral is that and so we've done a great job. Our ops team supply chain team manufacturing team has done a great job. We are not supply constrained on that. And we are going head-to-head with the trilogy and Eva. And what I see, as regular leases of recalls and issues with our competitor in that space. And so not just our brand reputation and the amazing technology that's in the Astral, it's incredibly reliable and very high quality. And I believe we've been taking share there for a number of quarters. But Jim, you want to give detail on the Astral and how well that's doing U.S. and rest of the world?
Jim Hollingshead: Yes, thanks, Mick. Thanks, Dan. The Astral’s performing really, really well from a competitive point of view. We've taken share with the Astral it’s very very strong device offering. We've made a number of improvements to that platform over the last couple of years. And also remember that the Astral can be connected to an attachable modem, which can then allow patients using an Astral to be monitored in the cloud. And we have we have that capability now in our AirView platform worldwide. And so we've had a lot of a lot of adoption of monitoring ventilated patients in our AirView platform, especially a very strong growth in Europe with that offering. So Astral continues to perform extremely well.
Operator: Thank you. Our next question is coming from Matthew Mishan from KeyBanc. Your line is now live.
Matthew Mishan: Good afternoon. Thank you for taking the question. Just going back to the de-commit. Did you get a sense of why your orders were from over a year ago? We're de-committed and just how do you how did the semiconductor supply chain you know get unlocked over like the next three to six months? Like what are they telling you needs to happen incrementally so that you can get a steady or supply moving forward?
Mick Farrell: That's a great, great, great question. I'll talk a little bit about what our supply chain is doing. I'll hand over to Rob Douglas, our CFO to go through the incredible work that Andrew Price and Linda Laidlaw our President of Global ops and the head of our supply chain are doing there. I can tell you what they're getting me to do. They're getting me to work with the CEOs of these of these companies and their heads of production. And you know, we're working and providing information to show the importance and how these technologies that they're providing and going into lifesaving medical devices. I actually created a video for the investors and the internal employees at one of our major electronic components suppliers to talk to them about how every chip they give us gives the gift of breath to a person who's suffocating and to really get that message through, I mean, I think you know in the huge demand for electric cars and, and cloud connected to consumer devices and an across the board demand is up across industries. And so it can be hard if you're a component maker to differentiate, industry A from B from C and and know where it's going. When they know firstly that we pay high margins that we have long term contracts that we’re recession resistant industries we showed through the global financial crisis. And the benefit for employees looking for purpose that, hey, this chip doesn't just go into a car that goes from A to B, or, or give cloud connectivity to a refrigerator. This thing literally keeps someone breathing and allows them and their doctor to see that breath and then improvement of incomes, reduction of costs and reduction in mortality. So getting that message through is really strong. We've been working very strongly since the starting gun sort of went off on this June last year, and we're getting better and better. But across the industry, Rob it's a tough environment for supply.
Rob Douglas: Yes, it is tough, Matt. And the way the electronics and semiconductor industry works is like any other industries, a number of players have gotten long term forecasts, which they need to have because the capital investments in order to build capacity takes a long time to develop. But I've really only got short term clarity on what the demand levels are going to be. And the actually the electronic industry has always been feast or famine for particular components. Like that this is just a worse than usual version of the usual situation. There was so much excess demand around the COVID environment. So many new dynamics, like as Mick mentioned, electric vehicles, taking up demand and consumer electronics and all that. And then the, the key suppliers have all their own inputs that have those sort of same investment issues coming. So they're also an allocation for their raw materials, as well. And then they have a number of contracts. And as Mick gets to it as if we can manage the priorities that these people have. And by the way, whenever we talked to almost anyone in any industry, we end up talking to somebody who either has sleep apnea, or their loved ones have sleep apnea, or their good friends have sleep apnea, so we can get a really strong message through as to why it should be a priority. But sometimes they've got contracts, and they need to be able to call force majeure on those contracts before they can supply us. So it's a very complex, complex project, we keep working on it. As Mick mentioned, we've got these other longer term projects that are really designing around the constraints and putting in options so that we can have what would traditionally single source components, we'd have options to multiple source components. We have many different communication modules that can operate in the, into the units now and different protocols. And we'll keep working on that. But it's not going to clear short term. And now we're going to need this great sort of agile performance from our supply team to really try and predict the areas of de-commit so that we can inform our engineering teams of what they should be designing around and get started on those key areas before they become problems. But these are tough problems to solve but we're working on it.
Mick Farrell: Yes. And in short, our goal will be with all that work that Rob just talked about to make sure we take three steps forward, so that when you do get the two steps back of this and that component, we're still moving forward sequentially every quarter throughout the year, and then really freeing up as Rob said, the long term stuff starts to come into fruition over the next 3, 6, 9 months and beyond. Thanks for the question, Matt.
Operator: Thank you. Your next question is coming from David Bailey from Macquarie. Your line is now live.
David Bailey: Thanks very much. Good morning, Mick I might just follow up on those numbers, five areas of work. You mentioned sourcing validation and reengineering. Just wondering where progress sits relative to your plans? If there have been any benefit to date? And when do you think, these projects are expected to complete such that you do start to see the most benefits coming through?
Mick Farrell: David, it's a great, great question. And it's and it's really complex. And I'll probably hand to Rob to maybe give some of the detail on it. But those five lines of work have multiple projects within each of them. I tried to term like, new parts from new suppliers. That means our R&D team is reengineering, a new part validating, verifying, putting through all the quality tests, we're seeing in our market, how incredibly important that is, and we will not compromise on quality. And then you've got to validate and verify a new supplier and get them through. And so just one of those five lines of work is an incredible amount of work for our quality, regulatory, R&D, engineering, production and manufacturing teams. And so these aren't overnight. It's not like we're just having a cell phone here or a comms chip in a consumer device. This thing a life support then has to be working all day every day. A CPAP has to work every night and we are I think able to with all that work I mean as you saw, we got 200 million, 250 million this just this fiscal year ahead of incredible growth and our supply chain pivoted to all of that. If there hadn't been this competitive recall, we as an industry ResMed would have been absolutely able to do with every single supply chain constraint that had happened throughout this. And that's just speaks to the flex and the ability to go. We have these projects that have been going nine months, I actually think they're doing well. It's hard to say, even if I gave you on each of those five lines of work, the key milestones on it, there are probably five projects within each of those. So its sort of a 5 by 5, 25 point matrix. Rob's looking at this, Jim's looking at this on a daily basis. I get the updates every second or third day. As a CEO, I used to focus all my time just on customers talking to customers talking to health insurers and showing the benefit of our therapy, spending a lot more time with supply chain than I want to but right now, that's where the urgent need is. And for the next, 3, 6, 9, 12 months is where we're going to be focused. But at the same time, we're investing in demand gen. So that as the price starts to come back, and it will, and as a competitor comes back along, we can turn that demand gen back on securing all the share gains we've got through the digital entrenchment, and then drive for future growth. But Rob, how do you summarize all the other work we're doing for David succinctly here?
Rob Douglas: Yes, we David, we wouldn't break down all the individual projects. But no, I mentioned having multiple columns, protocols, multiple chips, multiple sources of chips. And to mix point, our issue around quality and patient safety is just so important. So we can't really take any undue risk or give any give on the quality of the validation processes. And making sure we're doing the right thing through all of that. So you can't just throw in a new component and say, let's see if it works. We've got to really do all the proper life testing and check through. So that's why it doesn't happen overnight. But the teams are working on it. And they said they're thinking about how to forecast the right areas, so that we can get on the front foot on these. Another important area is our ability to burst demand and burst supply, when we do get solutions come in, and you actually will see our inventory levels have increased. And that's interesting in a time, when really every product we make immediately delivered to customers and sold. And that's because we're working hard on making sure we've got all the raw material inventories, including longer term commitment with the suppliers, which actually we've had to do in order to guarantee short term supply. And so we've got very strong inventories of nearly everything, but a few that are short, but when those few ones shorts that were short come in, rather put them quickly into production and quickly get them on to patients.
Operator: Thank you. Our next question is coming from Mike Matson from Needham & Company. Your line is now live.
Mike Matson: Yes, thanks for taking my question. I wanted to ask about this character cloud device, sorry, Card-to-cloud device. Can you maybe comment on how that works? I assume that the collected data on the card and then has to be uploaded somehow. But and then, is there any kind of long term repercussions from having these out there in your installed base in terms of lost data over time or anything like that?
Mick Farrell: Thanks for the question, Mike. And I'll hand to Jim to walk through some further detail on it. I can tell you look from ResMed, when we really first got into digital health in 2002, we had paging devices on experimental parts of our devices and 2005, we started to with the AirSense launch in 2006, 2007 I had some SD cards that were in those devices. And so we've sort of had this, this world of card-to-cloud at ResMed for well over a decade, 10 years, 15 years that we've had had the ability to do that type of technology. Obviously, with the AirSense 10, we changed the whole market. We did the sort of reverse Amazon play where we said 100% connectivity in the AirSense 10 through the comms chip. And then you take it seamlessly. And it's and it's taken to go there. Look, this is humanitarian emergency right now. We have a competitor out of the market, and there's not enough comms chips to go around the world. And we looked at this and said, well, look, why don't we go to where we were before, which is a great technology of Card-to-cloud. The differentiator for us is AirView that the doctors use, myAir that the patients use and the whole ecosystem of data. And so I think it's far more efficient and appropriate, then it goes straight in a secure end to end encrypted from the device there. But in this time of emergency for a period of time, who longs knows how long it will last, these AirSense 10 Card-to- clouds, a whole lot better patient getting that technology than one of the competitors out there that has some -- solution that may or may not be encrypted, who knows how it works, and the device not might not be as reliable. So the AirSense 10 is the second best device on the market, second only to the AirSense 11. So Card-to-cloud is out there. But Jim, you know, it's early days. How's it going?
Jim Hollingshead: It's very early days and we'll be bringing and we'll be bringing it to more and more geographies but you know to midpoint, we really just want to make sure patients get on therapy. I mean, that's, that's the driving rationale for launching. And this device is Card-to-cloud version residents. And it's basically in AirSense 10 without the cell chip. And so to, the process question Mike you asked is about, the devices all have SD cards in them. The SD card has to get to the provider. The provider uploads the data into the cloud. We've actually just re-launched or launched a renewed and better version of the process for doing that for the software that allows the upload into the cloud. And the great advantage of the whole system is that the patients still can be managed in AirView. And AirView is the best, patient management system on the market, we know that it has the strongest preference, the strongest performance, it's secure. It's encrypted and protects privacy, and, importantly, all have our customers using AirView right now in their workflows. And so that what the, the Card-to-cloud device is missing one step, which is the daily cloud uploaded data and via the system, the data will come into the system into the cloud, when the SD card gets uploaded by the provider. So and that I don't think anybody will do that on a daily basis, they'll do it relatively infrequently. The data is all there in the SD card. The device stores the data for months, so no data is lost. It's just the frequency of upload. And again, the main rationale behind it is we want to make sure patients get on therapy, there's a growing patient backlog, we can produce these devices at volume. And it gets around our biggest constraint, which is the communication.
Operator: Thank you. Our next question today is coming from Margaret Kaczor from William Blair. Your line is now live.
Unidentified Analyst: Hey, guys, this is Maggie on for Margaret. Thanks for taking our questions. I wanted to ask the incremental benefit guidance question a little bit of a different way. So obviously, supply constraints here are not allowing you to service all the patients out there. So you're reducing it by 100 million. So as the pie improves, and when it does, do you think that you will be able to recover that full 100 million in the next fiscal year, and even more than that? Thanks so much.
Mick Farrell: Thanks for your question, Maggie. I mean, the short answer is yes, absolutely. Through not just the technology, Jim was talking about the essence, Card-to-cloud but all the other projects, Rob's been talking about the 5 by 5 25 plus matrix of incredible projects that are going through are going to free up supply. And sequentially as we go through this year, we're going to get growth and growth and growth. And so, just to be clear, it was on top of, as Brett said, strong sort of 10% forecast growth, we then had, in addition to that 300 million to 350 million of incremental, that incremental was reduced to 200 to 250, as we as we said today, for this fiscal year that we're in. But that incremental growth, those patients will be there. And we will be in the back when we will get to them in fiscal 23 and more as we continue to grow throughout the fiscal year 2023. It's not like this is an overnight success. And one of the 25 projects works tomorrow. We're all perfect. It's incremental, continuous improvement, step by step improvement of an amazing ops and supply chain team, and an amazing sales and delivery team working with customers on this allocation and understanding how to bring that product to market and understanding on the marketing side to just get ready for the demand gen that's going to need to happen to get all the backlog in and new patients in as we go in, throughout fiscal year 23 and beyond. But the short answer is Maggie. Yes, we will get to that increment and more throughout the coming 12, 18 months.
Operator: Thank you. Our final question today is coming from Suraj Kalia from Oppenheimer. Your line is now live.
Suraj Kalia: Good afternoon everyone. Hey Mick a lot of questions have been answered. Mick, if we layer a recessionary environment on top of an inflationary environment, can you just give us some guidance in terms of new order flow-through, patient behaviour, resupply orders, especially, it almost seems inevitable that there's another complicating factor on the horizon. Thank you.
Mick Farrell: Thanks, Suraj. Yes, look, I mean, clearly inflation is high. And as you've seen, that's been hitting, some of our areas of cost. We have some price mitigation on the AirSense 11. And on global surcharge, and some sort of skews across the range to deal with inflation and to share some of the pain of that that we are seeing from our suppliers with the channel. But so that's, that's how we're sort of mitigating the impacts of inflation. Your question about a future recession who knows we haven't a long bull market. One thing I know that ResMed and I was here through I was actually running the global sleep business through ’08, ’09 and ‘10. And I just taken over it the year before and ResMed is remarkably resistant to that global, that global financial crisis. And in recessionary environment, people may forego that extra Tesla, that extra phone for $2,000, but they will not forego that extra CPAP for $1,000 as much. And so we were very recession resistant through that last global financial crisis had a bull bull run here, globally for 10, 12 years, it is possible. Suraj, you're probably better at predicting the timing, or when a recession may come in the next 12, 24, 36 months, I don't know. But I know that as opposed to other consumer industries and automotive industries and fast moving consumer goods, medtech, and particularly consumer driven medtech, like ResMed and sleep apnea. We've been very recession resistant are a very strong player throughout that and give us a competitive advantage, I think of some of the other players fighting for the dollars available. But look, who knows what the timing of any of that would be. But we've got mitigation plans in for inflation. I think very good experience and capabilities to deal with downturns and or, and or recessions. But thanks for the question Suraj.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to Mick for any further closing comments.
Mick Farrell: Well thanks Kevin, for hanging the phone back. And thanks again to all of our shareholders for joining us on this call. I'd like to once again thank the 8000 ResMedians, many of you are also shareholders through our ESPP. So thank you for that for your dedication and your hard work helping people breathe better, sleep better, and live better lives outside the hospital in 140 countries worldwide. Thanks for what you do today and every day. I look forward to talking to you and all of our stakeholders here again in 90 days. Thank you, and we can now close the call.
Amy Wakeham: Great. Thanks, Mick. To echo and thank you, everyone. We appreciate your interest and your time. As a reminder, if you have any additional questions, please don't hesitate to reach out to our Investor Relations team directly. This does conclude our third quarter 2022 conference call. Kevin I'll turn it back to you to close things out.
Operator: Thank you. That does conclude today's teleconference and webcast. Simply disconnect your line at this time and have a wonderful day. We thank you for your participation today.